Operator: Good day, ladies and gentlemen, and welcome to the NVE Corporation Conference Call on the First Quarter Results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this conference call maybe recorded. I would now like to introduce your host for today’s conference President and CEO, Mr. Dan Baker. Sir, you may begin.
Dan Baker: Thank you and good afternoon. Welcome to our conference call for the quarter ended June 30, 2018. As always, I’m joined by Curt Reynders, our Chief Financial Officer. This call is being webcast live and being recorded. A replay will be available through our website, nve.com. After my opening comments, Curt will present a financial review of the quarter. I’ll cover business items, and we’ll open the call to questions. We issued our press release and filed our quarterly report on Form 10-Q in the past hour following the close of market. Links to documents are available through the SEC’s website, our website, and our Twitter timeline. Comments we may make that relate to future plans, events, financial results or performance are forward-looking statements that are subject to certain risks and uncertainties, including among others, such factors as our reliance on several large customers for a significant percentage of revenue, risks and uncertainties related to the economic environments and the industries we serve, risks and uncertainties related to future sales and revenue, uncertainties related to the impact of federal tax reform, as well as the risk factors listed from time-to-time in our filings with the SEC, including our 10-K for the year ended March 31st. The company undertakes no obligation to update forward-looking statements we may make. We’re pleased to report a 20% increase in net income to $0.81 per share compared to $0.68 last year. Curt will cover the details of our financial results. Curt?
Curt Reynders: Thanks, Dan. Product sales for the first quarter were $6.87 million about the same as last year's strong first quarter. A 67% decrease in contract R&D caused total revenue to decrease 7% to $7.11 million. The decrease in R&D revenue was due to the completion of certain contracts. As we’ve said before, much of our R&D revenue is for customs, spintronic, anti-tamper sensors and revenue can fluctuate with contract timing. Gross margin increased to 80% of revenue compared to 76% last year due to a more profitable revenue mix. Despite 9% increase in R&D expense, total expenses increased just 1% for the first quarter due to an 18% decrease in SG&A expense. Dan will cover R&D projects. The decrease in SG&A was due to staffing changes and decreased performance-based compensation. Interest income increased 17% for the quarter due to higher bond yields increasing the average interest rates on our securities. The increase in interest income was despite a decrease in our marketable securities as we use a portion of maturing securities to fund dividends. Our effective tax rate decreased to approximately 18% compared to 32% in the prior year quarter and 30% for the last fiscal year. The decrease was due to the decrease in the federal tax rate with the enactment of the Tax Reform Act. We currently expect our effective tax rate to be approximately 18% for the full fiscal year. After-tax net income for the most recent quarter increased 20% to $3.95 million or $0.81 per diluted share compared to $3.3 million or $0.68 last year. The increase in profits was primarily due to a lower tax rate and increased gross profit margin. Net margin for the quarter increased to a record 56% compared to 43% last year which is among the best returns on revenue in the industry. Fixed asset purchases were a modest $38,000 in the quarter and we currently expect fixed asset purchases for the fiscal year to be less than the $605,000 we spent last year. In addition to the dividend paid in the past quarter, we announced today that our board declared another quarterly dividend of $1 per share payable August 31st to shareholders of record as of July 30. Now I'll turn it over to Dan to cover the business. Dan?
Dan Baker: Thanks, Curt. I'll cover new products, R&D, distribution and governance highlights. In the past quarter, we launched a new series of couplers the IO-01 series, which is based on tunneling magnetoresistance or TMR rather than giant magnetoreistance or GMR. We had begun sampling some of the TMR parts earlier in the year. These devices are lower powered than our venerable GMR couplers and are designed as gateways to the Internet-of-Things, where they could be battery-powered for a long time. There are video demonstrations of TMR isolators on our website and YouTube channel. We made progress on our Department of Agriculture biosensor grant, and we have prototypes of all of the components including biosensors, magnetic nanoparticles, aptamers, electronics, microfluidic manifolds and cartridges. We're preparing for live pathogen testing this quarter. Our goal is to demonstrate the scalability of our technology from the laboratory scale devices we did before to much higher commercially viable throughput. We continue to work in the past quarter to support the Europa Clipper mission to the moon of Jupiter. The mission lets us showcase the rugged reliability of our devices. In the past quarter, an article in the journal Nature Astronomy reported support for the existence of water vapor plumes on Europa. Water is a key ingredient for life and the mission will help to answer the question of whether there’s water on Europa. To move out our products to a wide audience, we participated in the Sensor+Test Measurement Fair in Germany. We had new demonstrations showing the precision of our tunneling magnetoresistance angle sensors and their easy interface to microcontrollers in the Internet-of-Things. There are videos of our demonstrations on our YouTube channel. This was also our first major show with our new distributor Pevatron, so was an opportunity to help train the Pevatron team on our products. Pevatron combined its activities with long time NVE distributor IAS line in the past quarter and now distributes our products in Germany and Switzerland. Finally, I’ll cover some governance items. Our annual meeting has been scheduled for August 2nd here in the Eden Prairie. The materials are proxy statement, letter to shareholders and annual report on Form 10-K, have been filed with the SEC and they’re available from the Investors section of our website. There are three items on the formal agenda for the meeting: first to elect directors, second; advisory approval of the compensation of our named executive officers, and third, to ratify the selection of our independent registered public accounting firm. For good corporate practice, our entire Board of Directors stands for election every year. And we’re fortunate to have an exceptionally experienced and accomplished Board. This year we provided additional information about our Directors using the framework recommended by the New York City Comptroller’s Office. The second annual meeting agenda item is approval of officer compensation. Our proxy includes pay ratio information is required this year. Our median employee made more than $60,000 last year, and our CEO pay ratio is a relatively modest 6.5 to 1. As discussed in our proxy, we don’t overpay our officer. Our officers had the same fringe benefits as all employees and there are no executive perks or golden parachutes. In accordance with the good corporate practice, our compensation committee reviewed performance relative to a peer group of companies and assessing performance. NVE's pretax margin was nearly three times the next highest in the peer group. The last formal item of the business at the annual meeting will be to ratify the selection of our independent registered public accounting firm for the year. Grant Thornton audited our past five years' financials and we recommend our shareholders to ratify their selection. In addition to the formal meeting, we’ll have new hands-on product demonstrations that highlight the precision and size of our products. And of course, we’ll have cake. Now I’d like to open the call for questions. Daniel?
Operator: Thank you. [Operator Instructions]. And our first question comes from Jeff Bernstein of Cowen. Your line is now open.
Jeff Bernstein: Can we get a quick update on the mid devices area both hearing aid market and the ICD market?
Dan Baker: Certainly. Good afternoon, Jeff. So first the hearing aid market, so as you probably know there has been talk about an expansion of the hearing aid markets such as over the counter or private-label hearing aids. That could help us if it expands the market, and we can provide components for those hearing aids. Proponents of those markets point out at large population could use hearing aids but don't because of the expense or dispensing inconvenience. And it remains a market that we spent significant amount of research and developing better and better products smaller and lower power are the keys in that market. As far as cardiac rhythm management medical devices, there have been short term challenges in that market but the outlook seems to be improving. And certainly the long term market demographics are favorable as baby boomers age and many of us are going to need these devices. And the devices are getting better and better and less and less invasive.
Jeff Bernstein: That's great. Just a couple of follow ups. You guys had completed a couple of development projects with applicability to 5G and maybe other communications, non-military applications. Anything going on in terms of trying to commercialize any of the -- sort of the mimic microwave isolator and circulator research?
Dan Baker: We are working on that technology and our goal is to commercialize it in addition to the military applications that you mentioned. Things like Spin-Torque Microwave Diode and mimic devices have a good deal of promise at -- for higher coupler speeds as well as communication applications as you mentioned. So we certainly see potential for the technology and we're continuing to work on and develop that.
Jeff Bernstein: Any timeframe for when you think you might actually have commercial products there?
Dan Baker: That's hard to say and hard to put a specific timeframe on it. Generally we consider projects like that relatively long term compared to other projects where we're working on them and relatively near term in the next quarter or two probably doesn't fall into that category. But we continue research on those devices. And we see inexorable need for higher and higher speed and bandwidth with all of our appetite for more information, more data.
Jeff Bernstein: Okay. And then just a quick clarification of that. You have a partnership with another semiconductor manufacturer to sell your products into automotive, I guess. There have been some press releases out there about TMR sensor products for automotive from some bigger manufacturers. Would the partners name actually in some cases beyond the product so might we be actually seeing your product being talked about but with someone else's name?
Dan Baker: Yes, that's a possibility. And we really couldn't comment on the specifics and we talked about, you and I talked about a specific product and specific name. And as you know, we couldn’t comment on that because of non disclosure agreements. But we certainly consider ourselves the industry leaders for that type of sensor for TMR angle sensors. And there is a lot of interest in it and automotive and other markets. Robotics and cars are two of the main target markets that we see for those devices. And we’re also, as you know, we’re working on smart sensors of that type. So those will allow easier connection to the networks in cars or the Internet of Things or the Internet of Industrial Things.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session for today’s call. I would now like to turn the call back over to Dan Baker for any further remarks.
Dan Baker: Well, thank you. We were pleased to report a 20% increase in net income. We look forward to seeing many of you at our Annual Meeting August 2nd, and speaking with you again in October to discuss second quarter results. Thank you for participating in the call.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. And you may all disconnect. Everyone have a wonderful day.